Operator: Good afternoon, everyone, and thank you for participating in today's Conference Call to Discuss StarTek's Financial Results for the Second Quarter Ended June 30, 2021. Joining us today are StarTek's Executive Chairman and Global CEO, Aparup Sengupta; and the Company's CFO, Vikash Sureka. Following their remarks, we'll open the call for your questions. Before we continue, we'd like to remind all participants that the discussion today may contain certain statements, which are forward-looking in nature pursuant to the Safe Harbor editions of the Federal Securities Laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. StarTek advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. StarTek does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include some non-GAAP measures. In accordance with Regulation G, the Company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings release on the Investors section of the website. I would like to remind everyone that a webcast replay of today's call will be available via the Investors Section of the Company's website at www.startek.com. Now, I would like to turn the call over to StarTek's Executive Chairman and Global CEO, Aparup Sengupta.
Aparup Sengupta: Thank you, [Jasprit], Good afternoon, everyone, and thank you all for joining. I'm very pleased with the results of this quarter as we continue to generate strong revenue and profitability growth, demonstrating the resilience of our team and our operational foundation. Our top line growth was driven by improvements across our key growth verticals including significant contributions from the vaccine drives we helped support throughout the United States. Underlying these promising trends across our verticals was our continued focus on careful cost management as we further enhance both the cost and the operational efficiency of our organization. In addition to the vaccination tailwinds in the U.S., we also generated solid traction out of India as vaccination rates improved and recovery from last quarter's COVID-19 outbreak continued to progress. The recovery trends across our geographies helped drive the strong performance we delivered across our verticals during the quarter. To provide some additional color on our growth by vertical, the high-quality service and flexibility we have demonstrated to our clients' base has helped them navigate both macro economy and industry-specific factors during the recovery from last year's pandemic-related lows. These recoveries-related tailwinds have continued to support existing growth trends across certain verticals as restrictions eased throughout Q2, including e-commerce, media and cable, business and financial services and local travel. Meanwhile, even some of our long-challenged verticals began their gradual return to growth during the quarter. For instance, our telecom segment revenues began to increase, both on a year-over-year and sequential basis over a period of prolonged decline as did our brick-and-mortar retail and automobile segments. Certain verticals that were most deeply affected by COVID-19 last year remain challenged by pandemic-related volatility such as intercontinental travel, and we are remaining closely attentive to changing health protocols and further developments related to the Delta variant. We will remain vigilant on these developments across all of our verticals and geographies as well as maintain our strong commitment to supportive and flexible partnerships. Within our Healthcare and Education segment, revenue growth was largely driven by COVID-19 assistance program we supported in the U.S. As domestic vaccine rollouts progressed across the country, we were able to leverage our platform, expanded range of capabilities to facilitate greater vaccine access throughout U.S. communities nationwide. Within a short time frame, we were able to have thousands of agents ready and able to assist and answer U.S. patients' questions regarding vaccination logistics as well as facilitate a health hotline to make some of these answers readily available. We are very proud to leverage our scale and operational agility to support this important health initiative for United States. Across the U.S. and all of our geographies, we are committed to upholding the safety and health of not only our workforce, but also the broader communities in which we operate, especially in such a critical time for global health. This agreement is known as the indefinite duration, indefinite quantity or IDIQ based on the government's need for these services similar to many other government BPO contracts. Given the bulk of this support was for initial vaccine rollout efforts, we currently do not anticipate this particular government program to continue into the second half of the year. That's it, the comprehensive support we were able to provide positions us well for future extensive large-scale government opportunities, ones that we previously did not have the resources to support. I will speak more to the flexibility and optimization of our platform a bit later in the call. But before I turn the call over to our CFO, Vikash Sureka, I would like to provide some additional detail around the cybersecurity attack we experienced during Q2, which we have worked around the clock to remedy, the cybersecurity threat occurred on June 30, and involved encryption of some of our systems. Many of our clients face no disruptions in certain regions, but other customers faced disruptions in regions where we support a greater concentration of agents working from home. While several impacted clients maintain connectivity with our network and continued receiving our services, others close to chose to temporarily suspend access to the networks out of an abundance of caution. We have since restored the security of our systems and networks, enhanced the way we monitor our entire information security environment, and implemented various network process improvements in close collaboration with leading external forensic and cybersecurity experts. These steps help allow us to understand why the incident occurred and work to prevent similar incidents from occurring in the future. As the incident occurred on the last day of the second quarter, we expect that the incident may impact our revenues for the second half of 2021. However, our team's quick and comprehensive response gives me confidence in our operational flexibility and our focus on bolstering the strength of our platform. On the whole, I'm very proud of our team's adaptability in driving our recovery from both this threat and the broader lows of the pandemic last year. In addition, we have diligently maintained a strong focus on further leveraging and enhancing the comprehensive capabilities of our platform to provide best-in-class client support. Before I discuss these efforts further, I'd like to turn the call over to our CFO, Vikash Sureka to walk you through our second quarter financial performance in greater detail. Vikash?
Vikash Sureka: Thank you, Aparup, and good evening, everyone, and thank you for joining the call. We generated promising trends across our verticals during the quarter, and I'm very pleased to report strong growth across our key financial metrics. Starting on the top line, net revenue in quarter two increased 33% to $189 million, compared to $142.2 million in the year ago quarter. On a constant currency basis, net revenue increased by 33.7% compared to the year ago quarter. This year-over-year growth reflects sustained performance across our key growth verticals, including significant contributions from the U.S. government's COVID-19 assistance contract. As Aparup mentioned, we currently do not expect this U.S. government program to continue into the second half of 2021, which may result in some sequential softness on the top line in quarter three. Gross profit for quarter two increased 55% to $24.6 million compared to $15.8 million in the year ago quarter. Gross margin increased 190 basis points to 13% compared to 11.1% in the year ago quarter. Similar to our top line, the year-over-year increases in gross profit and margin reflects strong growth across our client verticals. Selling, general and administrative, SG&A per short, expenses for Q2 decreased to $12.3 million compared to $14.6 million in the year ago quarter. As a percentage of revenue, SG&A improved to 6.5% compared to 10.3% in the year ago quarter. This reflects our operating leverage on the back of the higher net revenue base we generated during the quarter. We believe our SG&A cost in absolute terms would marginally increase in the near term as we look to strengthen our client-facing organization. Returning briefly to the cybersecurity threat, as Aparup mentioned earlier, we expect to incur costs related to this incident as we diligently work to remedy the situation, and make incremental investments to enhance the overall security of our information security environment. We are confident this isolated threat is contained and eradicated. Net income attributable to StarTek shareholders for Q2 improved significantly to $6.9 million or $0.17 per share compared to a net loss attributable to StarTek shareholders of $5.2 million or negative $0.14 per share in the year ago quarter. The increase also reflects our more normalized effective tax rate during quarter two, as there was no onetime or exceptional costs recorded during the quarter. Adjusted EBITDA in Q2 increased significantly to $19.6 million compared to $8.8 million in the year ago quarter. As a percentage of revenue, adjusted EBITDA increased to 10.4%, which was up 420 basis points compared to 6.2% in the year ago quarter. The increase was primarily driven by our robust revenue growth and subdued comps last year. While we are very pleased to have delivered consecutive quarters of double-digit adjusted EBITDA margins, these have been driven by some one-off events in both quarter one and quarter two. We continue to receive grant income of $2.5 million in second quarter, having received similar grants in the past two quarters. At present, we anticipate some of this income to continue into the third quarter. From a balance sheet perspective, at June 30, 2021, our cash and restricted cash totaled $54.1 million compared to $64.6 million at March 31, 2021, with the decrease due to increased receivables related to the revenue growth we generated during the second quarter. While this led to negative cash flow from operations in the second quarter, this has already been normalized in the first few weeks of the third quarter. Total debt at June 30, 2021, was $173.9 million compared to $172.8 million at March 31, 2021. Net debt at June 30, 2021, was $119.8 million compared to $108.1 million at March 31, 2021. Following last quarter's refinancing, our net leverage on a trailing 12-month basis continues to remain well under 2x. As we continue into the second half of 2021, we remain comfortable with our liquidity position as it stands today and are well positioned to start planning requisite investments in key market-facing growth initiatives, ensuring that we continue advancing the capabilities in the most cost-effective manner possible. As we discussed, we are reviewing our network and security design and will make all the necessary investments to improve our network security for both our clients and employees. We will also be making investments in our IT and go-to-market strategy including our sales capabilities to further strengthen, our foundation for the remainder of 2021 and beyond. This concludes my prepared remarks. I will now turn the call back to Aparup. Aparup, over to you.
Aparup Sengupta: Thank you, Vikash. Before we open up the call to questions, I'd like to spend some time reviewing our industry recognition that our platform optimization initiatives have garnered in addition to providing further detail on this initiative and our other core growth drivers for the second half of the year. Since implementing StarTek Cloud at the height of the pandemic last year, we have leveraged this level of innovation and flexibility to continue propelling our growth. Across our verticals, digital and cloud-based solutions have become essential in today's remote and hybrid work environment. They not only facilitate these more flexible employment frameworks, but also enable scale and efficiency. For instance, they can drive rapid execution of highly complex transactions and more effective data storage. In APAC, Information Services Group reports that Q2 spending on cloud-based services grew to record levels at a time where the region's overall spending on IT and business services already outpaced the U.S. for the first time in a quarter. Cloud capabilities are a growing trend in our core geographies and a necessity in our industry, and we will continue building out our already comprehensive capabilities in this area. Automation represents another set of services that we are working to optimize, being able to seamlessly organize back-end information and streamline front-end support will enable organizations to service more customers and better allocate their costs and personnel. Subsequent to the quarter, we officially announced our collaboration with Automation Anywhere, which will allow us to implement AI-powered robotic process automation, or RPA, capabilities across our customers' experience value chain. As a reminder, these capabilities enable us to identify automation opportunities and build robust customer experience or CX solutions, accelerating efficiency and customer cycle lifetime value. On our client ends, enhanced automation features help organizations to streamline their operations, taking the time and focus away from repetitive tasks so that they can prioritize business-critical projects. As an example, for a large e-commerce retailer, our automation deployment in a vital process that deals with sellers on their platform, reduce the turnaround time by over 80%. Additionally, in an ongoing deployment at a global leader in background verification, our automation solution has projected an over 35% reduction in full-time equivalents deployed. As we develop these features and strengthen our innovation advantage, we look forward to further progressing these partnerships and further supporting our platform's automation capabilities. As a parting thought for today's call, I'd like to spend some time reviewing our key growth drivers as we progress into the second half of the year. I'll start with a quick overview of our organic growth drivers then move into our margin expansion levers and inorganic growth opportunities. In terms of our organic growth, we plan to leverage our growing StarTek Cloud automation and RPA technology innovations to differentiate and expand our services with both new and existing clients. We are operating within a dynamic global environment, made more so by rapidly evolving macroeconomic conditions surrounding the pandemic and recovery trends. Against this backdrop, we will continue working to increase our wallet share with large global clients and targeting high-growth verticals, such as e-commerce, health care, education, business and financial services and retail. Within these and potentially new client markets, having 46 delivery campuses across 13 countries, gives us a robust geographic footprint to offer right shoring capabilities and other solutions to make our clients' organizational processes more efficient and cost-effective. We are continuing to prioritize high-growth, high-margin clients, but now with greater resources to target larger scale opportunities, such as the COVID-19 assistance U.S. government contract we discussed earlier. To speak more specifically on our global capacity, this is something we have already worked to optimize during the pandemic, as shifts to work from home and hybrid models become more sustainable and widely accepted today. As we stated last quarter, we continue to view the long-term proportion of agents we have on campus versus agents who work remotely at a 75% and 25% split, respectively. While we still have limited visibility on what we can reach -- when we can reach these numbers, StarTek Cloud has bolstered our ability to optimize this capacity, allowing agents to provide our proven high quality of service in a relatively asset-light manner. This in turn benefits our SG&A and margin expansion efforts, giving us greater bandwidth to reinvest in our sales engine, and reengineer our processes to provide greater value, scale and flexibility. Finally, we have an inorganic growth lever in our relationship with the CSS Corp. Although it is early days, this partnership will play a pivotal role in adding value and scale to our growth strategy and is currently tracking ahead of plan. As we develop this relationship, we can also derive even greater value from our other strategic collaborations such as Automation Anywhere and other potential RPA, digital and social media partnerships. We have demonstrated significant adaptability and innovation to get to where we are today. Since the outset of the pandemic last year, we have moved quickly to protect our workforce, preserve our operational efficiency and broaden the reach and capabilities of our platform to facilitate seamless digital experiences, ones that optimally serve both our agents and our customers. These actions remain at the core of where we are going as we focus on balancing our growth investments with sustained careful cost management. I'm very proud of the operational and financial progress we have achieved thus far and believe we are well positioned to continue strengthening our organizational efficiency and optimizing our platform. Abbigail, we will now open the call for questions.
Operator: [Operator Instructions] And now our first question comes from the line of Zach Kamans with B. Riley Securities. Your line is now open.
Zach Cummins: Congrats on the strong results here in Q2. Can you start off by just quantifying in a sense, how much of the upside that you saw in the health care vertical was centered around the COVID-19 vaccination efforts?
Aparup Sengupta: Vikash, would you like to take that question?
Vikash Sureka: Yes, I can take that, Aparup. Hi, Zach. So yes, like I said in the commentary, this was generated through the U.S. government's drive on the vaccination. So, we generated about $24 million of revenue in quarter two, which is unlikely to continue in the second half of the year, given that the program was successfully completed.
Zach Cummins: Understood. That's helpful. And is that business related to the federal government? Is that lower margin for your overall business compared to your other services? I'm just trying to get a sense of what were some of the drivers of kind of the sequential decline that we saw in gross margin?
Vikash Sureka: No. In fact, I would say it is not margin value to this business is actually margin accretive. And it does reflect our average margins that we generate at the EBITDA level, right? However, the fact is that this program was somewhat temporary in nature. So we did benefit both on revenue and margin front in quarter two. However, as we move forward, this program will not continue, but it is certainly not margin dilutive.
Zach Cummins: Understood. And in terms of the telecom vertical, I mean, nice to see that return to growth on both a year-over-year and sequential basis, I mean what is the expectation for that moving forward? Is that something that can be a consistent grower? Or how are you thinking about your strategy in that vertical?
Aparup Sengupta: I'll take that, Zach. Thanks a lot for this call, and I appreciate your supporting and covering us. So basically, we see that -- and this has been the phenomenon that we see globally that telecom has suddenly become a very important driving force in the lives of people, which means that people are working remotely or using the telecom network more frequently, be it data or be it voice in an era where a significant part of the work is happening in such areas. Consumers are using these devices and this part of their spend significantly, and therefore, it is resulting into higher volumes and, therefore, higher consumers are seeking support. So that's probably the reason that we have seen over the last, I would say, few months in the telecom sector. So this is going to be potentially, I believe, could be a trend in the light of our strategy of having a hybrid workforce where a large number of people will operate from home. And the on-campus work will probably reduce. And therefore, consumers will also spend a lot of time on their phone or on the data devices, and therefore, it will lead to additional engagement. So that's the trend that we are seeing.
Zach Cummins: Understood.
Aparup Sengupta: And the other thing, as I also wanted to let you know, Zach, is that. We won a very large telecom contract in South Africa. So telecom is coming back. And that is potentially about $100 million of total contract value over a five-year period. So that's exciting.
Zach Cummins: That's great to hear. Congrats on the large win. But as far as the cybersecurity incident, I mean, can you speak to any sort of impact that you've seen with client relationships or specific regions? I'm just trying to get a sense of how you're thinking about the potential impact as we go into the coming quarters with the fallout from the incident?
Vikash Sureka: See, I think today, if you look at...
Aparup Sengupta: Cybersecurity. Yes, please go ahead, Viaksh. Please go ahead..
Vikash Sureka: Okay. Sorry, Aparup. So Zach, I mean, this incident itself occurred on 30th of June. So we hardly saw any impact of that in quarter two, right? And I mean, these type of incidents, as you very well know, has various dimensions sites. And as we get into quarter three, we do expect that this incident itself will cause us to incur some costs to stabilize the event, right? As we speak the event is completely thoughted and our network is totally secure, however, we will incur some costs to one stabilize the incident. Through that, we also have appointed a number of experts and forensic to understand what really happened and what precautionary measures we should take as we go forward. So, I do expect that over the next few months and quarters, we will invest a lot more in our internal IT and security environment, both on the OpEx and CapEx front. And we will have a better sense of that when we speak to you in quarter three, right? Aparup, you may want to comment on the customer question?
Aparup Sengupta: Yes. I think. Yes, that's correct, I mean -- Zach, if you look at today, I mean, a very large part of client that we work are from the clients' environment. So to a large extent, we do not hold a lot of clients' information within our ecosystem. So whenever a kind of -- and whatever the attack had happened basically had some challenges with some of our internal systems, but we recovered them very effectively. And today, we are secure. And we are doing all that is required, both at a device-level control as well as a perimeter-level control for any future threats.
Zach Cummins: Understood. That's helpful. And just final question for me, I mean, any update you can provide around the relationship with CSS Corp? It sounds like ahead of schedule. And I'm just curious as to how that's potentially impacting your go-to-market strategy and how your solution portfolio evolves over time?
Aparup Sengupta: Oh, absolutely. I think we are basically partnering at the front end, which I mentioned in the last quarter. If you understand, CSS does a lot of tech support work. So that is a kind of a void area that we never had. [Audio Gap] hyper-growth organizations, and they are growing significantly ahead and being a part of a tech support company, the intrinsically bring in a lot of expertise in such areas. And some of the customers for whom we do kind of consumer experience work, they also have tech support kind of pockets and share of wallets. So that's where we have joined together with CSS. We have built a team together to work in some common opportunities where we bring in the value of CSS. And at the same time, CSS also brings the kind of value that we bring on the consumer experience side for non-tech support. So therefore, there is a very good, I would say, synergy that we have been able to develop at the front end, and we will continue to do that.
Zach Cummins: Understood. Congrats on the strong results.
Aparup Sengupta: Thanks, Zach.
Operator: Our next question comes from Rob Bamberger with Baird. Your line is now open.
Rob Bamberger: Yes. Maybe just looking at the gross margins. It was a little bit weaker than what we would have expected given the really nice revenue acceleration. I guess what was the cause for the 16% sequential revenue acceleration? But about 210 basis points of sequential gross margin compression. So I guess the government assistance program wasn't coming on at low margins. What caused maybe this sequential margin compression?
Vikash Sureka: Yes, I can take that, Aparup, right?
Aparup Sengupta: Sure.
Vikash Sureka: So you're right. I mean the government contract itself didn't dilute our margins that much. But it's a question of mix of revenue that we generate across various verticals and various geographies, right? We saw India grow strongly as well. And there, we were impacted a little bit on the gross margin. But overall, if you look at our general trend in terms of last three, four quarters, we've seen that your gross margin is fairly stable. Our leaps of revenue sometimes, gets skewed and that has an impact on our gross margins. But overall, I would see that the way we are now coming out of the pandemic over the last three, four quarters, the way the growth is coming back, and the margin appears to be fairly stable and in the upward trajectory.
Rob Bamberger: Okay. That's great. And maybe just going back to the government, U.S. government program, is there any one-off costs of winding down that program since it involves thousands of agents, as you said? Or is it going to be not margin dilutive coming off in the back half?
Vikash Sureka: Yes. So there is no one-off cost that is there to wind on the program, right? Like Aparup mentioned, while he was commenting, these are programs which doesn't have a specific commitment and they combine quite easily. So there is a ramp-up cost that we already bake in while we price these contracts. So that's already incurred in Q2 as we executed this project. And as we went on the program, there will be no extra cost for us. So that will not be margin dilutive for us in the subsequent half of the year.
Rob Bamberger: Okay. Great. And then maybe just thinking about the grants, the first two quarters had some grant impact. How much do you expect, I guess, in Q3 and Q4 going forward from the grants?
Vikash Sureka: Yes, good question. This is hard for me to predict, right? I mean, we have benefited through the grant over the last two, three quarters. I do expect some grant income to come in Q3. I'm not sure of Q4. But it cannot be as high as $2.5 million that we are seeing in Q2, but it will not be as low as well. So I'm expecting anywhere between $1 million, $1.5 million to come in Q3. But again, this is fairly unpredictable, which is something that I want to underscore.
Rob Bamberger: Yes. That makes sense. And maybe just last question on work from home. I guess what percentage of your workforce is currently in a work-from-home environment? And last quarter, you noted about 25% of employees could work from home over the long term. Does this 25% then 75% split in the office still make sense over time. And any cost efficiencies from doing this?
Vikash Sureka: It's about 70%, it hovers between 70% to 75%. It's very dynamic in nature depending on for the situation. And as you know, we operate in various countries. We operate in countries which are still struggling through the whole vaccination program and the initiatives. And we are seeing a lot of variance and surges that keeps on coming and going. So it's very dynamic and volatile. But our guesstimate, if I may use that word, continues to remain within the 75%, 25% range. So that probably will continue as we speak.
Rob Bamberger: Okay. Great. And any cost efficiencies over time from being in that range relative to normal?
Vikash Sureka: Yes, pretty much. I would say if you look at today, I mean, we believe that 25% of the workforce will remain at home for two reasons. One is it gives a huge amount of flexibility because what you do is you are not aligned to a specific center. So you kind of have a flexible workforce that you can have access to when you're working from home because earlier -- if you just remind ourselves two years our entire workforce was centered around the center where we are and the neighborhood, let's say, a 20-mile or a 30-mile 40-mile radius where people could drive in and work. But with this 25% workforce, which is now happening from work from home, it is not constrained to that specific geography. So we can tap into a very large labor pool across the globe, and it's just not U.S. phenomena, it's there almost all over the countries that we operate. So, that's a very interesting stuff that the clients are liking. They're finding a lot of flexibility. And at the back of that, we are also evaluating a lot of infrastructure cost and a lot of centers have capacities due to this heightened at-home work. So many clients who are conservative in nature who would like to come back and ensure that the staff work from kind of controlled premises, we have kind of opened up additional capacity for the future growth that we might require for on-campus work. So it kind of worked both ways. It's kind of beneficial and it allows us to have a flexibility of growth, which is kind of an infinite capacity, it's a work from home. At the same time, we have an ability of accessing some of the vacant capacities that have been vacant because of this work-from-home issues that have come up and have allowed customers who would like to do a lot of improvised work.
Operator: [Operator Instructions] Our next question is from Omar Samalot. Your line is now open.
Omar Samalot: Great quarter, guys, amazing. I never expected that. In terms of the cyber threat, I was wondering if -- would there be any relief in terms of insurance policy against these risks that you guys maintain?
Vikash Sureka: Yes. So I can take that, Aparup. So yes, so we do have a very comprehensive cybersecurity policy in place. And there was some foresight in our thinking. In fact, last year, when we were reading the policy, we in fact, increased coverage as well, right? So a lot of the costs that we are going to incur just to stabilize the event, I think, will be largely covered by the insurance policy, right? However, having said that, through this incident, we are doing the complete deep dive of our entire IT ecosystem in the Company, right? And that will naturally lead to certain gaps that we have identified or we could identify. And therefore, we are prepared to make certain investments, both on OpEx and CapEx, just to strengthen our backbone, which will give us a lot of confidence -- which will give our customers and prospects a lot of confidence. So I expect that cost to come into our P&L over time, but the cost of managing and thought in the incident itself largely will be covered by the insurance policy. Of course, it's always subject to deductibles that we have on the policy. But beyond that, I think we'll define.
Omar Samalot: Okay. Good. That's helpful. And obviously, I mean, you guys continue to do an amazing job in terms of the SG&A line. So there's obviously some leverage there that you can invest it back into the security and the cybersecurity of the business.
Vikash Sureka: That is right. However, having said that, Omar, we also are having plans to invest a bit on a client casing organization. So you will see that while our SG&A is largely stable, there could be slight uptake on that number over the next couple of quarters.
Omar Samalot: Okay. Fair enough. So putting aside the amazing growth there in health care and despite Q2 being historically the lowest call volume quarter, you still showed revenue growth, even if you take out that piece. So, is that evidence that of new clients and new programs continuing to grow for the Company?
Vikash Sureka: Yes, I think it is a combination of both. As you know, in this business, I think what happens is that a large amount of growth comes from your existing clients because they grow with you. They have larger volumes. They have new lines of business that gets opened up. They also go through the innovation cycles and they offer new products to our customers. So that's kind of something a phenomena, which is very generic in the BPO industry. The other thing that I wanted to bring is that India has been doing extraordinarily well on the e-commerce sector and some of the sectors, they are well coming out of the pandemic, and there is an added force. So those are kind of coming very handy with some of the existing clients. At the same time, new customers are also getting onboarded. I just mentioned about our win in South Africa. And of course, this though it's temporary in nature, the work that we did for the U.S. vaccine program basically testifies that we have the agility to scale up whenever there is a beacon called that comes for growth. So that was a very good test for our capacity and capability. And therefore, I clearly believe that there will be such growth coming up, especially in the health care, in the edu tech, in the education sector, in retail. So these are also coming back well. So overall, I would say that customer experience is continuing to be what I very popularly called is the light on business. It's a nondiscretionary spend. And if you do it right and if you manage and be the custodian of the consumer experience, they will continue to reward you with additional business growth, both from existing clients as well as from the new opportunities that we are seeking.
Omar Samalot: Okay. Very good. And now you brought up India. And it seemed to me that the market had some fears concerning how you would perform in India during Q2? And maybe it seems like those fears were grossly misplaced. Could you talk about what worked there for you and explain what the market could be misunderstanding in terms of how you are positioned in India?
Vikash Sureka: See, there are two parts. If you look at India as a geography, one is what I call is citizen serving citizens, which is the domestic growth. So therefore, that is something that has seen a momentum, especially during the pandemic era with e-commerce companies. So that's one, which has definitely given us a lot of growth. The second thing, if you look at India is that they are also an offshore destination for some of our clients. So some of the growth, which was hampered -- which is U.S. bound with the recovery, I mean, they came back, and therefore, that has led to an additional growth that is coming back to India. So therefore, I would say that India was prepared, and we were prepared, especially, the first wave gave us such a big jolt to us, especially, with lockdowns and others, that additional preparedness that resilience has allowed us to basically navigate the second wave in a very effective manner. The first wave we were struggling to figure out how do we do work and everybody got stranded in their homes. They could not come and show up. There was a heroic work that was done by our entire team to basically move assets into the homes of people. It's not that easy to do that in India. It's not as developed as you go a few miles or a few tens of miles or hundreds of miles. So we did all of those work, and that capacity and that capability has now allowed us to be resilient. So we navigated the second, I would say, wave of constraints of lockdowns and others very effectively. So that is something, I would say, was probably not baked in, in understanding and planning for people who are looking at India from outside?
Omar Samalot: Okay. That's very helpful.
Vikash Sureka: And you can also see the range of IPOs coming, I mean, in India, if you we observed that the latest spread of a lot of IPOs of hyperscale companies. I mean some of them are announced. I mean, they are all coming back up into the marketplace, and they are growing significantly. So that momentum is also helping us.
Omar Samalot: Okay. Okay. Finally, I just had a question regarding your performance. And right now, looking at trailing 12 months, not even in the next 12 months, you're very close to achieving $80 million in EBITDA, there seems to be a disconnect between the current stock price and the Company's performance over the past year and future prospects. Was your small open market purchase of stock in June and tend to highlight that disconnect? I don't know if you could share your views on that subject.
Vikash Sureka: That open market was a personal by, I personally believe in this company. I believe that if you are talking of my personal buy in the open market, is that the one that you're talking of?
Omar Samalot: Yes, yes, sir.
Vikash Sureka: Yes. So this was -- as you know, I mean, being the being at the heart of the Company and looking at the growth, I believe that there is value in the Company, and therefore, I wanted to buy the shares of the Company. But however, how the market behaves and how it works, I have no control. I will not be able to comment. It's beyond my control. But internally, we are very, very bullish in the sense that the stock probably does not reflect what it should reflect. So in my own capacity, personal capacity, whatever I could do, I wanted to make sure that I have a piece of that upcoming growth, which I'm sure will come some day.
Omar Samalot: Okay, thank you very much guys, and congratulations on a wonderful, wonderful quarter.
Aparup Sengupta: Thank you, Omar.
Vikash Sureka: Thank you, Omar.
Operator: Thank you. And this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Sengupta. Please proceed.
Aparup Sengupta: Thank you, Abbigail, for conducting these sessions and thank you everybody for listening to us so patiently. And thank you all for joining us this afternoon for your continued support for StarTek. I look forward to speaking with you next when we report our third quarter results.
Operator: Thank you, ladies and gentlemen. You may now disconnect.
Vikash Sureka: Thank you, everyone, see you next quarter.